Operator: Good morning, everyone. Thank you for holding and welcome to America’s Car Mart first quarter 2010 conference call. The topic of this call will be the earnings and operating results for the company’s fiscal first quarter ended July 31, 2009. Before we begin, I would like to remind everyone that this call is being recorded and will be available for replay for the next 30 days. The dial-in number and access information are included in this morning’s press release which can be found on America’s Car Mart's website at www.car-mart.com. As you all know, some of management’s comments today may include forward-looking statements which inherently involve risks and uncertainties that could cause actual results to differ materially from management’s present view. These statements are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The company cannot guarantee the accuracy of the forecast or estimates, nor does it undertake any obligation to update such forward-looking statements. For more information regarding forward-looking statements information, please see item one of part one of the company’s annual report on Form 10-K for the fiscal year ended April 30, 2009, and its current and quarterly reports furnished to or filed with the Securities and Exchange Commission on Forms 8-K and 10-Q. Participating on the call this morning are Skip Falgout, Car Mart’s Chairman of the Board; Hank Henderson, the company’s Chief Executive Officer and President; and Jeff Williams, Chief Financial Officer. And now I would like to turn the call over to the company’s Chairman of the Board, Skip Falgout.
Tilman J. Falgout III: Thank you, Operator and good morning, everyone. We announced earlier this morning outstanding results for the first quarter of fiscal 2010, which is our 10th consecutive quarter of solid profits and is a continuation of our 28 plus years of profitability. Included in that announcement was a 33% increase in net income to $7 million, or $0.60 per share, versus net income of $5.3 million, or $0.45 per share for the prior year first quarter. Our top line increased by 10.7% to $83.8 million on strong retail unit sales increase of 11.3%, and same-store sales increase of 8.5%. As a reminder, last year’s first quarter sales were bolstered somewhat by economic stimulus checks that our customer base received in April -- in May of last year. When you consider that incentive to benefit our customers, I believe this year’s first quarter sales and revenue increases are even more impressive. And not to take away from Jeff’s discussion to follow but we were able to achieve the sales gains this quarter while at the same time continuing to not only maintain but significantly improve our delinquency and credit loss metrics. For example, our over 30 day delinquencies improved over last year’s first quarter to 3.5%. Net charge-offs decreased to 5.1% from 5.7% and provision for credit losses as a percentage of sales was well below 20%, the best level in recent years. Folks, this is a cornerstone and harbinger of solid, good, and growing earnings. As Hank and Jeff mentioned in today’s press release, and they will elaborate on more in a moment, we have continued to make huge strides in building our company for maximizing our results at our existing store base and laying a strong foundation for accelerated but controlled future new store growth. I am very confident we will continue to build on the momentum we have generated over the last two years of positive growth and you will see sustained strong growth and results here at Car Mart in the future. Now I will turn it over to Jeff.
Jeffrey A. Williams: Thanks, Skip. Once again, as mentioned in the press release, our top line revenues for the quarter increased by 10.7% compared to the first quarter of last year. The increase was a result of an 11.3% increase in unit volume, a 1% increase in average retail sales price, a $300,000 increase in interest income, offset by a $360,000 decrease in wholesale sales. Same-store sale revenue increased by 8.5%. Our down payment percentage for the quarter was 7% this year compared to 6.5% for the first quarter of last year. Our initial loan term was approximately 26 months, which is flat with the first quarter of 2009. Our weighted average note term for the entire portfolio, including contract modifications, was 27.6 months at July 31, 2009 compared to 27.5 months at July 31, 2008. Considering the slight increase in average retail sales price, the initial term was actually slightly down between years. This is an indication that our lot managers continue to do an outstanding job of keeping the terms down, which is so important in ensuring that our customers maintain equity in their vehicles. The average retail sales price increased slightly to $9,041 from $8,952 for the first quarter of last fiscal year. Sequentially, the average retail sales price was actually down $148 or 1.6%, something that we are very happy about. Demand for used vehicles we are purchasing remains very high. Wholesale price trends have been increasing for several months now. To be able to hold down purchase prices and resulting sales prices and to maintain required quantities, quality, and mix in this environment is a testament to our lot managers, their purchasing agents, and our corporate purchasing support team led by John Sims. We will continue to leverage our purchasing strengths as we move forward with our growth plan. We realize that minimizing our purchase cost to keep the vehicles affordable for our customer is critical to our success. We cannot overstate the importance of maintaining affordability and it all starts when that vehicle is purchased. The average retail units sold per month per lot of approximately 29 for the quarter was up almost 7% from last year’s first quarter. Please note that this is the average lot volume across our entire store base and we do have some lots selling around 100 units per month. As we have mentioned in previous calls, we have significant leveraging opportunities within our current footprint to increase sales and volumes and profits. Our continuing focus on ensuring that all individual lots are producing strong economic profit based on our investment in that lot is being reflected in our increased sales volumes. We will continue to focus on pushing this number up above 30 units sold per month per lot. At the same time, based on the significant infrastructure investments we’ve made over the last few years, we will continue to add new lots to meet our growth projections. Interest income was up 4.8% for the quarter, due to an increase in average financed receivables outstanding of $22 million, offset by lower rates. Weighted average interest rate for all financed receivables at July 31, 2009 was 11.7% compared to 12.4% at July 31, 2008. The weighted average interest rate in Arkansas was 7.2% at quarter end compared to 8.7% at July 31, 2008, and 6.7% at April 30, 2009. The decrease in rates between periods results from previous decreases in the federal primary discount rate, the base rate used by loans -- used by us for loans generated in Arkansas prior to June 26th of 2009. The passage at the federal level of the supplemental appropriations act of 2009 in June, we are now permitted to charge up to 17% for new loans in Arkansas. We began charging 12% to our Arkansas customers on June 26th and we anticipate charging this rate on a go-forward basis for new sales. Federal legislation does have a sunset provision and the voters in Arkansas will be voting in the fall of 2010 on a state constitutional amendment which will effectively accomplish the same results. Should the voters not approve the state constitutional amendment, the company will again be subject to a maximum rate of the discount rate plus 5%, effective January 1, 2011. We do not anticipate going to 17% on our loans placed in Arkansas and we believe that we benefit from our customers’ ability to maintain equity in the vehicle during its full term and our credit losses in Arkansas are lower. For the first quarter of this year, our gross profit margin percentage was 44.1% of sales, up from 43.6% in the first quarter of last year and up from 42.7% sequentially. The improvement from the prior year period relates primarily to the effect of lower wholesale volumes and lower operating expenses, namely gasoline. The sequential improvement relates to lower wholesale sales, as well as higher margins earned on the payment protection plan product. We also received a benefit from selling a slightly lower priced vehicle during the current quarter. We will continue to focus efforts on holding down purchase costs and we expect to see gross margin percentages in the 43% range on a go-forward basis. However, higher top line sales levels, together with lower wholesale volumes resulting from improvements in credit loss experience could have a positive effect on gross margin percentage in future quarters. The first quarter of this year, SG&A as a percentage of sales decreased to 18.1% from 18.5% in the same period last year. The overall dollar increase in SG&A related primarily to higher payroll costs. At the corporate level, higher payroll costs are concentrated in our HR, IT, and collections areas. The investments in personnel for these critically important support areas are allowing us to grow the top line in a more accelerated but controlled pace. We expect to continue to leverage our infrastructure investments into the future via higher sales volumes. Within HR is our manager and training program where we have significantly increased our investment in recent months to have a sufficient level of qualified associates in this program to support growth and cover attrition needs. At the lot level, market based pay adjustments for certain positions have been made and we continue to offer a benefits package that is unique in our industry. Additionally, many compensation arrangements at the lot level are based on profitability and as such payroll costs have increased in step with increased profits. For the current quarter, net charge-offs as a percentage of average financed receivables was 5.1% compared to 5.7% for the prior year’s quarter. Collections as a percentage of average financed receivables increased to 16.6% from 16.4% for the prior year. At July 31, 2009, our 30-plus past due accounts were at 3.5% compared to 3.6% at July 31, 2008. The historical average at this time of year is closer to 4%. Our allowance for loan losses remained at 22% of financed receivables. Provision for credit losses was 19.5% of sales compared to 20.9% for the first quarter of fiscal 2009, and 20.8% sequentially. Several factors are contributing to our improved credit loss results, including the fact that the competitive landscape has shifted to our favour, further solidifying us as the market leader in our service areas. Credit constrictions are affecting vehicle consumers and our competitors, as evidenced by significantly lower indirect loan volumes in the sub-prime ABS market, as well as credit tightening related to inventory lines of credit for many, if not all, of our competitors. With our healthy balance sheet, we continue to improve our vehicle selection, quantity, quality, and service levels and with our focus on affordability, are picking at market share which has a direct positive effect on collection results. Being the clear market leader gives us more collections leverage with a customer base in need of good basic affordable transportation. While unemployment levels in our service areas have ticked up, the rates are still significantly below national levels and most of our customers are receiving new tax credits and benefiting from lower withholding rates when compared to this time last year. Additionally, gasoline is about $1.50 per gallon less this year compared to last, which is putting additional money in our customers’ pockets. Also we continue to make significant strides with our operational improvements within collections and these improvements are continuing to show up in our positive results. Collections up, charge-offs down, and our 30-plus category lower than at this time last year, we are very happy with our results thus far in the year. We saw strong overall cash flows again during the current quarter, reflected with only a slight increase in overall debt levels with financed receivables growing by over $13 million, and over $1 million in capital additions during the first quarter. At July 31, 2009, we had $29.6 million additional availability under our revolving credit facility. Our current debt-to-equity ratio is 18.6% and our debt-to-financed receivables ratio is 12.5%, both at historical lows and a testament to our increasing commitment to maximizing our cash-on-cash returns. As the credit markets collapsed around us, our healthy balance sheet with strong operating results have allowed us to really take advantage of our strengths at existing dealerships, and to benefit from attractive lease rates and outstanding locations for our new lot additions. Now I will turn it over to Hank.
William H. Henderson: All right. Thanks, Jeff. Well, I guess I can start off by stating the obvious -- we are very pleased with our first quarter results. We continue to see steady improvements in every facet of our business, and our task at hand right now is to continue to build on our success. Too often there’s a tendency to press harder when things are not going so well and to relax somewhat when results are good. We know, however, that it’s time to press harder when performance is at a high level and that is our intention at this time. A couple of years ago, we weren’t producing at the level we knew we were capable. We talked quite a bit about how our less than satisfactory performance at the time was in part the result of opening more stores than we were really equipped to handle at the time. And being mindful of that, we can appreciate any concerns anyone may have as we begin to open more stores. It is very important to understand that we are not at all looking today at the same situation. As we’ve discussed on our last few calls, we’ve made extensive improvements and now have far more support and oversight in every area. We are now well-positioned to effectively deliver the necessary support and oversight to several more stores. There’s no question that with every decision to open an additional location, we must ask the question if we have in place the people, structure, and resources necessary and we feel very confident that the answer to that question right now is yes, we do. The continually improving numbers we’ve seen over the past several quarters and certainly the impressive results posted this past quarter are evidence of that. Much of the increase in sales and improvements in collections are a result of better execution at all of our stores. Virtually all of our younger stores have improved significantly. Our objective has been to reduce the number of stores that we believe have not been producing as we know they should and this effort has served us well as we see what a different it makes when we have each store carrying their weight. I wouldn’t say we are at 100% but we are much closer than we were just a year ago. I think it’s also important to note that while it does feel very satisfying to see that the improvements we have made are paying off, I want everyone to understand that we still have several more projects in the works that have not yet been fully implemented, and I can't say enough good things about the work our IT department has done. Our IT director, Rick Combs, has just done an excellent, excellent job with that group. They recently began the rollout of a new system that ties our phone system into our collections module and our operational software and this will significantly enhance the management of our collection efforts. Equally exciting is a project underway that will give our purchasing agents immediate access to our purchasing data while in the field. There’s no question that each of these projects are very significant advancements. Both projects will be fully in place for the second half of this fiscal year. We are very excited about getting them started. Also important to note is our management training program is going very well. We are very pleased with the quality of the trainees in the program, as well as the training they are receiving. Our associate development team is doing a great job. And we have already realized a lot of benefit from this program and it will continue to be vitally important to our future growth. So for now, I guess that concludes our prepared remarks, so now we would like to move on to any questions. Operator.
Operator: (Operator Instructions) We will take our first question from David [Berkloff] with [Seasons] Incorporated.
David Berkloff - Seasons Incorporated: Good morning, guys and congratulations on a great quarter. I have a couple of questions. First, can you comment at all about the sales trends in August? I mean, do we see any kind of drop-off from where it was at the end of the quarter?
William H. Henderson: No, they are still solid. We are satisfied and pleased with the continuation on our sales.
David Berkloff - Seasons Incorporated: Okay. And what percentage of sales were from Arkansas?
Jeffrey A. Williams: Revenues were about 50% in Arkansas for the quarter.
David Berkloff - Seasons Incorporated: Okay. And did you see -- I mean, some of the growth, I mean, was that a lot -- I mean, was there more sales in Arkansas this quarter at all, or has that been pretty stable?
Jeffrey A. Williams: It’s been fairly stable. A lot of the revenue increase was from the smaller lots and several of those were outside of the State of Arkansas, so --
William H. Henderson: One of the good things is some across-the-board increases, really -- some of the lots that a year ago were not selling enough, a lot of things were done to improve their sales levels and they are producing so yes, across the board. That’s what is exciting about it.
David Berkloff - Seasons Incorporated: Okay. And then one more -- did you have any -- are you seeing any difficulty right now in sourcing cars, given the cash for clunkers program?
William H. Henderson: No, if anything I’d say the challenges we have of finding inventory aren’t related to that. And really we’re not -- we’ve actually increased our inventory. I think anybody that drives by any Car Mart location today, inventory looks as good as it ever has -- we’re well-stocked and we have a good mix and as Jeff discussed pretty thoroughly there, we are very pleased that we are keeping the costs about where we need to on that, so no, we’re still doing a good job there.
David Berkloff - Seasons Incorporated: Okay. Thank you very much.
Operator: We’ll take our next question from Bill Armstrong with C.L. King & Associates.
Bill Armstrong - C.L. King & Associates: Good morning. I’ll add my congratulations. Just to follow-up on that last question, so you are not seeing any impact from all these cars that are being taken out of circulation because of the cash for clunkers program? You’re not seeing an impact on supply?
William H. Henderson: Not -- I guess I would just have to say apparently not. Our purchasing team is doing a good job. I think that early on in the program when a lot of cars are being traded for it and dealers were still trying to figure out how the program works, I think anecdotally we saw a few little challenges but we are very pleased with the inventory that we are getting and so we have not been impaired in any way by this program.
Tilman J. Falgout III: Bill, also if -- just driving around some of the new car dealerships as we are taking in these cars, they really were clunkers. I mean, if they were getting $4,500 tax credit, most of those cars, probably 99% of them, we wouldn’t have bought anyway.
William H. Henderson: I think it’s also, you know, as was just asked, a lot of our business is in Arkansas and we know that for whatever reason, actually it was a very small percentage of the clunker money went to Arkansas, so we didn’t see a whole lot of it.
Bill Armstrong - C.L. King & Associates: Okay, and how about inventory pricing trends, pricing trends for the cars you are buying at wholesale? Is that continuing to go up?
Jeffrey A. Williams: Actually, we’ve -- as evidenced by the sequential sales price decrease, our purchasing group was actually able to show a slight decrease in purchase prices for the first quarter versus the fourth, which we are extremely excited about and --
William H. Henderson: You know, Bill, I think if you look at the Mannheim index, it’s gone up for what, the last 11 months I think or so.
Bill Armstrong - C.L. King & Associates: Yeah.
William H. Henderson: -- to our competitors, the mom and pops that have no choice to got to the auction every Tuesday or Wednesday night and have [a single source], they probably have felt it more than we have but the way we purchase, as you know, I think has given us this advantage over those that kind of have single source purchasing, so we are getting the benefit of that.
Tilman J. Falgout III: I think too, as you mentioned, there were a lot of these cars that did qualify for the program and are being taken off the market, they were pretty rough and so they would be below what we have out there for our customers, so we might actually realize some benefit on the side of when we liquidate trade-ins or repossession. I wouldn’t say necessarily that we are but as some of that trails, that may be where we see the impact.
Bill Armstrong - C.L. King & Associates: Okay. On another topic then, I think in the past few quarters you’ve mentioned that you have seen some increases in customers refinancing their loans with you. I was wondering if you could update us on what the trends were there.
Jeffrey A. Williams: Actually, we saw a pretty significant decrease in modifications this quarter versus the first quarter of last year, so we are very pleased with the efforts in place to minimize modification but honestly, modifications are not necessarily bad in this business. We’ve got to work with these customers but we have seen a decrease from last year in modifications.
Bill Armstrong - C.L. King & Associates: Okay, so then the decrease in charge-offs and the improvement in the accounts over 30 days past due, that did not benefit then from higher modifications -- you actually had modifications decreasing?
Jeffrey A. Williams: Yes, and the cash collections were up -- the collections were up, modifications were down, so this -- we’re seeing real improvement in the portfolio.
Bill Armstrong - C.L. King & Associates: Great, okay.
William H. Henderson: For those metrics to fully work together, for example, if you add contract modifications really too low and repossessions too high might be an indication that we are not maintaining our customers, so it’s -- I think right now it’s kind of an interesting and probably a good equilibrium there. It probably could get better but right now it’s in a good place, a good balance.
Bill Armstrong - C.L. King & Associates: Okay, great. Thanks.
Operator: We’ll take our next question from John [Hecht] with JMP Securities.
John Hecht - JMP Securities: Good morning and reiterate the earlier comments about congratulations on a successful quarter. Can you guys give us the inventory levels now, or maybe discuss what you have done with the inventory levels and in that context, are you keeping the inventory turns similar to where you have been historically?
William H. Henderson: I think it’s remaining fairly consistent. Really obviously our sales have began to increase and so we have had to carry more cars. I would say probably along about June we raised that number by about 300 to 400 units during June and have continued to do so and as always, we adjust accordingly, and so we are carrying what, 3,500.
Tilman J. Falgout III: We want our purchasing agents to not pass on any good cars, so --
William H. Henderson: Right.
Tilman J. Falgout III: If the turns go down a little bit in this environment, that’s not necessarily a bad thing for us with the supply issue, so --
John Hecht - JMP Securities: Okay, and sales growth and then you mentioned gaining market share against indirect lenders and actually in-market mom and pop competitors, it sounds like just general sales execution. I am wondering if you could highlight some of the promotions you have recently undertaken and maybe some of the near-term promotions and then finally on that topic is when do you anticipate doing some of the tax rebate promotions as we get toward the end of the year?
William H. Henderson: Okay. We remained consistent with our branding campaign and I would say that that still remained the heart of our advertising, in a business that has traditionally been very promotionally driven and we have ran some promotions through the summer. We’ve doe our time on the job sale and right now we have our sizzling summer, back-to-school sort of sale going on, where we feature certain cars and offer a few reduced [inaudible] like vehicles. The big promotion of the year is the tax return and it’s funny -- every year it’s earlier and earlier. Last year we launched that as early as November and our intention is to do the same this year. I mean, we are already in preparation for that, so --
John Hecht - JMP Securities: Okay.
Tilman J. Falgout III: And we do expect that tax promotion to be bigger and bigger each year. I mean, we are going to do better internally with the logistics of running that program. This will be the second -- I guess the third year we’ve been associated with our tax preparation company we work with and are very excited about the opportunities that provides to us, not only on the sales side in the third quarter but on the collections side in the fourth quarter so it’s a great promotion. We plan to really push that hard in the coming years.
William H. Henderson: I think it’s probably also worth mentioning, if you asked the question about the promotions and advertising, we’ve taken a little different turn this year. As we mentioned, we really focused on identifying the lots that we believe can produce more really not selling the number of vehicles they should and so we have actually gone to those towns and really customized some advertising just for that town, instead of just providing the blanket corporate television campaign and radio spots that we’ve had. We’ve actually gone in, produced spots just on that lot in that town, specifically running it on local cable to keep it affordable. And we are seeing some benefit from that.
Tilman J. Falgout III: And the rates we pay are quite low -- in fact, our overall marketing spend in total dollars is about the same as it was three years ago, so it’s come down as a percentage of revenue. We’re actually doing a lot more of this branding, even at the local level. You can get more bang for the buck out of it.
William H. Henderson: Yeah, when you keep in mind that we are primarily located in small towns in the south, we are not having to pay the rate of these large markets and so we can -- we can put out a lot more spots for a lot less money.
John Hecht - JMP Securities: Okay. And then the wholesale revenues were down, and is that purely a function of lower I guess repo inventory?
Jeffrey A. Williams: Yes, it is.
John Hecht - JMP Securities: Okay. And then the final question is could you guys -- I think you talked about unit development, what is your goal for -- I think you probably mentioned sort of one to two units per quarter of growth. Is that accurate, continue to be accurate? And what regions are you looking to here? And then on that topic, are your new units continuing to mature or ramp up at a similar rate to historical rates or are you seeing improvements there as well? And thank you for answering my questions.
William H. Henderson: With regard to the new store openings, as Jeff mentioned we’ve already -- we did open a few at the start of this year and in our first quarter, and we will open a few more throughout the remainder of this fiscal year -- just very steady and again asking ourselves every time, is this the right thing to do? And we certainly know we have the capacity for several more stores right now than we have today. We are also have the benefit of right now, there are so many towns that are located just right down the road from where we already are. We still have towns in Missouri, a couple more in Oklahoma we’ve identified, Alabama, Kentucky, so we are not going out anywhere and starting a new area. These are all fill-in and we have tremendous opportunity -- really for the next couple of years, there’s plenty of locations without going too far from home to do that. As far as the growth of the new stores, can you comment on that?
Tilman J. Falgout III: Yes, I would say that our recent new store openings are actually producing a little higher volumes out of the gate than we saw a few years ago, which is nice. We’ve got good new locations, great inventory to start those lots, good new managers out of that manager training program, and our expectation is just higher than it was on a new lot opening than just a few years ago.
William H. Henderson: I would tell you, John, that is by design. I mean, we beefed up all these infrastructure things we’ve talked about them to feel more comfortable. As you know, following our company for a while, we would start new lots selling 15, 18, 20 cars a month and our expectations are higher but also our ability to control that and deliver that is a lot better than it was.
John Hecht - JMP Securities: Okay, great. Thanks for the color.
Operator: We’ll take our next question from Daniel [Furtado] with Jefferies.
Daniel Furtado - Jefferies: Good morning. Thanks for taking my questions and congratulations again on a great quarter. Do you see any reason to believe the typical seasonal demand patterns will be different this year than other years? Considering how strong this quarter was, do you think we’ll go back to what we have seen from a seasonal demand pattern or do you think there is something else there?
William H. Henderson: That’s actually a good question.
Tilman J. Falgout III: It’s a great question and I guess in part, in years past there have been times certainly when we have a huge month specifically, and sometimes we see a little bit of a trail-off that follows that. You know, and then we question did we sell ahead a little bit or did the -- an aggressive promotion go ahead and pick up some other sales but really we’ve not seen any slacking. I think when we are able to produce at all the stores so you don’t have one store having to carry the weight of another, it just speaks to the capacity that we already had in place and so right now when [inaudible], there will always be some seasonality with us. It’s not going away but right now, we can say that sales continue to hold strong.
William H. Henderson: Typically August is a slower month, it’s back to school and we answered earlier, we’ve seen a continuation of solid sales, so --
Tilman J. Falgout III: And we know coming up are typically some -- September and October is just going to slow down but right now we are -- we feel like we’ve got the inventory, the selection, people are well-trained and well-motivated right now, so our expectations are high.
William H. Henderson: You know, that tax promotion, by moving that forward to November has really leveled out our second, our third and fourth quarters pretty dramatically, whereas that fourth quarter used to be just -- however, that was the tax quarter and now it’s spread over two quarters, so -- so there’s still seasonality but it’s not quite as dramatic, I would say, as it has been.
Daniel Furtado - Jefferies: Excellent. Thank you, that’s great color. And just like mechanically, how do you think about the Arkansas impact to the portfolio yield, like kind of -- like what I’m thinking is you know, there’s about a 600 basis point increase on 50% of the portfolio, so call it a 300 basis point increase over the next two years as it feathers in. Is that the right way to think about that?
Jeffrey A. Williams: Yes, that’s the right way to think about it.
Daniel Furtado - Jefferies: Okay, and then just my last real quick question is was there anything -- I don’t think abnormal is the right word but unusual in the interest and other income line item this quarter, especially as it compared to last?
Tilman J. Falgout III: Well, we did have a benefit from the decrease in the fair value of the interest rate swap.
Daniel Furtado - Jefferies: The 390 and change or whatever that was?
Tilman J. Falgout III: $319,000 but other than that, we just had lower borrowings than last year.
Daniel Furtado - Jefferies: Okay, great. Well, thanks for your time and again, great quarter.
Operator: We’ll take our next question from Brian Roman with [Ruboko] Investment Management.
Brian Roman - Ruboko Investment Management: Good morning. Thank you. A couple of questions, following up right away on the previous question about the flow-through of higher interest rates in Arkansas, is there any offset as you look up and down the income statement or -- because you are looking at 3% on $192 million of receivables would be the better part of $6 million of incremental revenue. When you look up and down the income statement, is there going to be any offset to that, like lower fees or lower gross margin or anything?
Jeffrey A. Williams: The offset would be slightly higher credit losses because when an account does go bad in Arkansas, there will be a little more principal owed at that point. Through an amortization schedule of a 6% note versus a 12, and our average loss period is about 11 months, it will be about $140 extra per unit hanging out there, so -- but it’s a slight -- it’s a small offset to a very large positive on the interest income side.
Brian Roman - Ruboko Investment Management: Okay, great. That is helpful. By the way, as you look at Arkansas receivables versus non-Arkansas receivables and the gentlemen before asked a similar question, and he said it feathers in I think was the expression used over three years. Is there a longer tail or a longer life or anything meaningfully different between Arkansas’ duration on the portfolio versus the rest of the portfolio?
Jeffrey A. Williams: Not necessarily -- we do have lower credit losses in Arkansas, so it takes a little longer to turn that over than at the other states but three years is a little too long, you know. The average term is 27 months, so it’s not going to take three years to turn it over. And with our collections and then the write-offs and repos, a big piece of that turn is going to happen within the first 12 months.
Brian Roman - Ruboko Investment Management: Okay, great. Another question which you referenced last time on the call and you sort of put it in the text this time, but factually you are saying the charge-off rate was down and the provision rate was down -- is there any way to quantify what you refer to here, I think it’s 0.3 in the second paragraph, an expanding market results from credit constrictions for vehicle customers at most of our competitors, I mean, you are basically saying that you are seeing a better quality customer. Is there any way to quantify the benefit of that other than through these two numbers? Can you say that there’s a specific group that you didn’t see before, you see it now, expanding and shrinking?
William H. Henderson: I would have to say that right now, and this is for the most part still anecdotal as we talk with the managers, we certainly know that we have seen some of the folks come to Car Mart as a result of the credit tightening but truly our core customers feel the same and that’s where our focus needs to continue. We want to make ourselves ready and available to others but our core customer base is still for the large part --
Brian Roman - Ruboko Investment Management: So if the improvement is still related to the core customer, is the lower provision and the lower charge-off rate, because the economy has gotten worse, obviously, is it a function of things we’ve talked about in the past, better quality cars and higher down payments?
William H. Henderson: It’s several different factors. Certainly the best possible quality car that we can offer in this price range makes a difference. The better we deliver a mechanically sound car that helps our credit losses, collections and so forth, at the same time, a lot of it has to do with just execution of how we know this business needs to be ran and I think we’ve done a better job with the training, I think we’ve done a better job with the hiring. We certainly have -- you know, we’ve seen some reductions in our turnover among collectors, so we are doing better there. I think all these factors come into play and results in some improved numbers there.
Tilman J. Falgout III: And also just the fact that gasoline is a lot cheaper this year than last, the fact that our customer is receiving some new tax credits from the government to individuals of $400 or families of $800, and then lower withholding rates on taxes, there’s just -- the customers that we have that have jobs are actually bringing a lot more money home than they were this time last year.
William H. Henderson: I think it’s fair to say too that in the areas were we are, smaller towns and so forth, that the economy has local economy and the jobs available and all that really hasn’t been as impacted as you see the numbers on the national scale, so it’s a lessened impact.
Tilman J. Falgout III: You know, as you do well on your market share in local markets too, that does truly give you a little more leverage with that customer base on the collection side also.
William H. Henderson: And as competitors struggle with their own financing and aren’t able to carry as much inventory as they could have a couple of years ago, perhaps even a handful are getting out of the business, you know, that also helps.
Brian Roman - Ruboko Investment Management: The joys of a solid balance sheet. Thank you very much for your answers.
Operator: (Operator Instructions) We will now move to Dennis [Skenell] with [Ritabuga] Capital.
Dennis Skenell - Ritabuga Capital: Good morning, guys. Most of my questions have been answered -- just one kind of off-the-wall question; I did read an article in the paper a while ago about some of the GM and Chrysler dealerships that had their new dealership pulled and they were converting to used dealerships -- I don’t know if there was any that would be targeting the buy here, pay here kind of segment but do you see anybody kind of coming into your market? I know that existing competitors seem to be having some difficulties but any of those formerly franchised dealers coming down into your market at all?
William H. Henderson: Well, we have seen several dealers in our areas go our but as far as any of those guys going into the used businesses, there’s not any that I am aware of just off-hand. [Multiple Speakers]
William H. Henderson: Exactly and I think you already answered the question, that even those that may, they are not entering the buy here, pay here.
Tilman J. Falgout III: Yeah, mostly new car dealers are just [buy] -- their genetics are -- they want to sell cars and this collection part of the business is not something they want to get into. I think they look at it but they just don’t want to do it. And then also I’ll tell you there’s a plus there, but I’m not sure we’re taking advantage of it too much but there’s some locations that will come available, not that we want to take over new car store necessarily but sometimes there’s extra land and it just helped us on -- will help us on getting locations cheaper.
Dennis Skenell - Ritabuga Capital: Yeah, gotcha -- and then one last thing, just kind of getting at the credit [inaudible] another way, just out of curiosity as you look at it sounds like traffic has improved and so on, or is up, have you guys -- are you guys rejecting more credit applications or has that stayed about constant?
William H. Henderson: I think overall we are doing a better job, I would say. Certainly at some of our locations, there’s not been any change but we have had some -- again, we really identified and focused on making each store do better and yes, we do have a number of stores there their number of turn-downs, as we call them, has gone up quite a bit last year and they needed to. We needed to tighten up a few places.
Dennis Skenell - Ritabuga Capital: Absolutely. Good, great. Well, keep the good work going.
Operator: And with no further questions, I would like to turn it back over for any additional comments or closing remarks.
William H. Henderson: Okay, well, thank you very much for listening today. It was a great quarter and as we said earlier, a continuation of consecutive good quarters in 28 years. If anybody else has any further questions, please feel free to call us, but thank you very much for your attention. Goodbye.
Operator: This concludes today’s presentation. Thank you for your participation.